Operator: Hello, everybody, and welcome to the Virtu Financial Fourth Quarter 2025 Earnings Call. My name is Elliot, and I'll be coordinating your call today. [Operator Instructions] I'd now like to hand over to Matt Sandberg at Virtu Financial. Please go ahead.
Matthew Sandberg: Thank you, and good morning, everyone. Thank you for joining us. Our fourth quarter 2025 results were released this morning and are available on our website. With us today on this morning's call, we have Aaron Simons, our Chief Executive Officer; Cindy Lee; our Chief Financial Officer; and Joe Molluso, our Co-President and Co-Chief Operating Officer. We will begin with brief prepared remarks and then take your questions. First, if you remind us, today's call may include forward-looking statements, which represent Virtu's current belief regarding future events and are, therefore, subject to risks, assumptions and uncertainties, which may be outside the company's control. Please note that our actual results and financial conditions may differ materially from what is indicated in these forward-looking statements. It is important to note that any forward-looking statements made on this call are based on information presently available to the company, and we do not undertake to update or revise any forward-looking statements as new information becomes available. We refer you to disclaimers in our press release and encourage you to review the description of risk factors contained in our annual report, Form 10-K and other public filings. During today's call, in addition to GAAP measures, we may refer to certain non-GAAP measures, including adjusted net trading income, adjusted net income, adjusted EBITDA and adjusted EBITDA margin. These non-GAAP measures should not -- should be considered as supplemental to and not as superior to financial measures as reported in accordance with GAAP. We direct listeners to consult the Investor portion of our website where you'll find additional supplemental information referred to on this call as well as a reconciliation of non-GAAP measures to the equivalent GAAP term in the earnings materials with an explanation of why we deem this information to be meaningful as well as how management uses these measures. With that, I will turn the call over to Aaron.
Aaron Simons: Thanks, Matt. Good morning, everyone. As a reminder, the prepared remarks for earnings calls moving forward, will focus predominantly on our financial results, allowing us to get to Q&A more quickly. Last call, we spoke about our plans to grow our trading by investing in our infrastructure, acquiring talent and expanding our capital base. We also emphasize that this growth would be a broad effort across the firm not limited to a handful of initiatives. The fourth quarter was a preview of the impact of this renewed focus on growth. Our results for the fourth quarter were impacted positively by a favorable operating environment, and while our capital accumulation efforts are just underway, the incremental capital we added and our ability to dynamically deploy it had a meaningful impact on our results. I'll hand it over to our Chief Financial Officer, Cindy Lee, who will review the financial results. As always, you can find additional perspective on the quarter in our detailed supplement. After her statement, we will move on to Q&A.
Cindy Lee: Thank you, Aaron, and good morning, everyone. For the fourth quarter of 2025, we generated adjusted net trading income or ANTI of $9.7 million per day or a total of $613 million. This was the highest quarterly total since Q1 2021. For the full year 2025, we generated $8.6 million per day or $2.1 billion in total. Turning to our segment performance. Market Making reported ANTI of $7.8 million per day for Q4 and $6.7 million per day for the full year 2025. Virtu Execution Services reached $2 million per day for the quarter and $1.9 million per day for the full year. This is the seventh consecutive quarter of increased ANTI for VES and high watermark since early 2022. An indication of substantial progress we have been noting within the VES business. This performance reflects the investment we have made in technology, our focus on client acquisition and the expansion of our product offering. Both of our operating segments benefited from generally favorable market conditions, elevated volumes and strong execution by our team. Our profitability this quarter was robust. We generated $442 million in adjusted EBITDA, representing a 72% margin. Adjusted EPS was $1.85. For the full year 2025, we recorded $1.4 billion in adjusted EBITDA, 65% margin and $5.73 in adjusted EPS. These numbers all represent high since 2021 and underscores the operating leverage inherent in our business. On Slide 6 of our supplemental materials, we provided a summary of our operating expenses. Our full year 2025 cash compensation ratio was at 19%, which was within the historical range. The increase in compensation expense reflects our continued focus on retaining and acquiring top talent across the organization, particularly in trading and technology. Turning to capital. We increased our invested capital by $625 million in 2025, $448 million of which came in the second half of the year while generating an average return of 100% over the year. We will continue to expand our capital base, strengthen our infrastructure and deploy capital where we see the greatest opportunities, all while maintaining our quarterly dividend of $0.24 per share. This completes our prepared remarks. We will now take your questions.
Operator: [Operator Instructions] First question comes from Eli Abboud from Bank of America.
Eli Abboud: The dollar value of your 605 quoted spreads looked like it declined sequentially. So is it fair for us to conclude that this quarter's strong performance came from areas outside of equities, and if so, can you provide some granularity on which asset classes were the largest contributors to your sequential growth?
Joseph Molluso: Eli, It's Joe. I think when you look at our performance this quarter, you've got to begin with the favorable operating environment, realized the volatility was up. The VIX was up. Equity share volumes were up, and there's a number of underlying drivers in the environment that should hopefully allow that to continue around asset rotation, around dollars, fixed income, currencies, commodities. We're a scaled globally connected firm, and we are more than just the retail flow business that shows up in the 605 reports. So I think that's the takeaway that we would want to leave with you. I think the growth in the trading capital base had an impact. We had a 100% return on incremental capital in the quarter. I don't expect that to always be the case, but obviously, when you make that kind of return and you have incrementally more capital, then it has an impact. And as Cindy mentioned, VES had a record quarter. All of its businesses are performing well. There's accelerating client engagement. There's new clients doing business. They're onboarding a lot of clients, there's existing clients doing more business. And that performance has been across all products, brokerage, algos, venues, workflow analytics and all geographies. So yes, that's the long answer. The short answer to your question is yes. the customer market making business, even though the quoted spreads have been down in the beginning of the quarter, as you can see from the public information, it's still elevated, I think, over a long period of time. But the noncustomer businesses, it did well, very well.
Eli Abboud: Got it. And for a follow-up, ETF fund launches are expected to hit a record in 2026 with the recent ETF share class proposal out to the SEC. So I was wondering if you could refresh us on where Virtu has exposure to the ETF market and help us understand the potential -- the materiality to Virtu, if that does, in fact, come to pass? And in particular, I was hoping maybe you could help us size up the contribution of your create-redeem business for the overall Virtu P&L?
Joseph Molluso: Again, Eli, I think it's difficult right now to give you something that would quantify the impact. But in general, we are a very large player across all of our businesses. In ETFs, we're an AP, and I don't know how many, but a large number of ETFs. There are -- it's a growing share class. It's continued to be a growing share clastic which you may be referring to some of the electronification around and tokenization, which, again, more, more product, more structure is generally a good thing for us. So I can't quantify for you a specific ETF statistic. It's just -- it touches just about every part of our business.
Operator: We now turn to Patrick Moley with Piper Sandler.
Unknown Analyst: This is Will Katz on for Patrick. Production markets, obviously, it seems like hey take an even larger role in the headlines every day. Can you give us your updated thoughts on participating in the asset class and whether sports or non-sports contracts would represent a more attractive entry point in the space?
Aaron Simons: Sure. So we're generally optimistic anytime there's a new market or a new asset class to trade. So we're definitely in the process of connecting, understanding how the venues work, establishing relationships. That being said, in these markets, there's not like perfect regulatory or legal certainty. So we're definitely being very careful and evaluating how those things are going to shake out. With regards to the actual markets, I mean, obviously, there are certain markets that are much more similar to our current trading than, for example, like outright sports bets. But even within that context, there are market making like activities, cross-exchange, arbitrage and things of the like that will certainly investigate.
Operator: We now turn to Dan Fannon with Jefferies.
Unknown Analyst: This is actually Rick Roy on for Dan. And just my formal welcome to the new management. And regard from that, aside from that, are you able to quantify or perhaps describe how impactful the non-equity side of the business was in terms of the market-making metrics that you posted this quarter and perhaps even layering that on to VES and things like cross-asset workflows. And specifically with regards to some of the volatility that we saw with digital assets, precious metals and commodities and I know you don't give sort of that breakout anymore, but any sort of incremental color around that would be helpful.
Joseph Molluso: Sure. Again, this is Joe. I think I would repeat a little bit the answer to the first question. And oftentimes, when we get an equities versus non-equities question, there's an underlying assumption there that equities represents the 605 business and everything else is non-equities, and that's not true. So the 605 retail flow business is what it is. It was as I said, it was a very good quarter. It was elevated relative to the past, and it was just the public metrics anyway, indicated as someone pointed out that it was down quarter-over-quarter. But in the non-customer Market Making business, we have a very large equities presence. We have a fixed income currencies and commodities presence. We have an options presence. We have a crypto presence. And as I said, we're global. So in the quarter where you have these kind of asset flows and these kind of movements in asset prices between fixed income and commodities and currencies and equities in Europe and in Asia and in the U.S., a firm like ours can thrive. So we don't break that out. We have no intention of breaking it out. But it's important, I think, to understand that outside of the retail flow business, we have a broad market making business that includes global equities, which did very well.
Unknown Analyst: Understood. And then maybe just a follow-up then on sort of the non-retail more so client side of the business. Just wondering where are you sort of seeing the greatest level of incremental demand? Is it -- would it be incremental customer adds or greater utilization of some of those services, whether on the Market Making side or on the execution side?
Joseph Molluso: That's more of a VES question, I think. And as I said, VES is firing on all cylinders. There's been a great deal of product improvement over the past year, 2 years, 3 years in terms of the algos in terms of venue -- the venues and in terms of workflow and analytics. There is retooling going on to accommodate non-equity asset classes in the workflow and analytics products and that's continuing. So VES had a very good quarter. And we had stated a goal of [ $2 million ] a day through the cycle for VES. Obviously, this is a favorable environment, and they were just short of it. So I think we're well on our way to getting to that goal on a through-the-cycle basis.
Unknown Analyst: Understood, that's helpful. But I guess, any commentary on maybe the forward pipeline of adding customers or product innovation on that side?
Joseph Molluso: Yes. All of the above.
Operator: We now turn to Alex Blostein with Goldman Sachs.
Unknown Analyst: This is actually [ Aditya ] filling in for Alex. Just zooming out and looking at the bigger picture, can you discuss your top 3 strategic priorities for 2026 in terms of either new initiatives or existing markets?
Aaron Simons: Yes. So I mean as we sort of said in the last 2 statements, we're not focusing on a very small number of growth initiatives. We're really just focusing on growing everywhere in the firm and responding dynamically to the market opportunities that are available. But it's a very broad effort to increase the total firm's trading capital, which we move around relative to opportunity, investing in our infrastructure and acquiring excellent people.
Operator: [Operator Instructions] We now turn to Ken Worthington with JPMorgan.
Kenneth Worthington: You mentioned you deployed incremental capital during the quarter. Can you give us a sense of the magnitude of the incremental capital that you did deploy. And as we look to the coming quarters, if market conditions are accommodative, what is the magnitude of incremental capital that you could deploy if you so choose -- you so chose?
Joseph Molluso: Yes, Ken. I think if you look at the 2024 year-end trading capital that we published and then if you look at the 2025 year-end trading capital that we publish, the total increase was over $600 million -- $628 million, $450 million of that was in the second half. And as you know, as your firm helped us increase our total debt by $300 million. So the debt increase was a portion of that. It is -- the answer in terms of how much we deployed is sort of easy in that we've deployed pretty much all of it. And that doesn't mean that we don't maintain substantial buffers and substantial excess capital in our U.S. broker-dealer and our other regulated entities. It just means that we've reduced the cost of capital because we relied less on contingent liquidity like revolvers to fund our operations. But I think overall and long term, when you have a quarter like this, you're going to have opportunities to deploy the capital. There will possibly be quarters when you're not deploying all of it or your buffers are greater just because the opportunity isn't there. Again, I think the underlying drivers of the environment are in place that hopefully we're not in that position. I think on the prior call, last quarter, we stated a long-term goal of being through the cycle, [ $10 million ] a day. And if you look at historical returns on capital, I don't expect them to be 100%. But if they're in the 50%, 60%, 70% range, you can do the math and figure out that we would expect to be able to deploy more capital than we have today, and we will achieve that through organic growth, and we'll achieve it through incremental borrowings to the extent they make sense and they're prudent, right. So it's a nuanced answer because it's really going to depend quarter-to-quarter. But in order to achieve our long-term goals, we're going to use the amount of capital we have today and even more.
Kenneth Worthington: Okay. Great. I'll take a shot on this question. ICE bought its way into poly market in part because of innovations around clearing, settlement and collateral. Do you see the potential for these types of efficiencies to be big enough to make a difference to the Virtu P&L. And if so, does -- do these sort of changes widen the advantage that the Virtu citadels and jumps have over the rest of the market? Or do they level the playing field?
Aaron Simons: I can take that. I think it's like a little early to say what the exact economic impact is going to be. Like I don't really view it as something that's going to be a step change in sort of all-in profitability on these sorts of trades. But I do think, in general, when there is added complexity in the market space of just different ways of trading the same thing, more connectivity, more different protocols, that's a relative competitive advantage for us because we're in everything, everywhere and connecting to another venue and understanding another clearing settlement cycle is just something that we've done over and over and over again. So any time they're sort of like multiple products with the same underlayer, that's a relative tailwind for us. So we're happy for the increased product space.
Operator: This concludes our question-and-answer session. I'll hand back to the management team for any final remarks.
Aaron Simons: I think that's it. Thanks, everyone, for joining.
Operator: Ladies and gentlemen, today's call has now concluded. We'd like to thank you for your participation. You may now disconnect your lines.